Operator: Good morning and welcome to the Healthcare Trust of America’s Second Quarter 2016 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, today’s event is being recorded. I would now like to turn the conference over to Mary Jensen, Vice President of Capital Markets. Please go ahead.
Mary Jensen: Thank you. And welcome to Healthcare Trust of America’s second quarter 2016 earnings call. Yesterday we filed our second quarter earnings release and our financial supplement. These documents can be found on the Investor Relations section of our website or with the SEC. This call is being webcast and will be available for replay for the next 90 days. We will be happy to take your questions at the conclusion of our prepared remarks. During the course of this call, we will make forward-looking statements. These forward-looking statements are based on the current beliefs of management and information currently available to us. Our actual results will be affected by known and unknown risks, trends, uncertainties and factors that are beyond our ability to predict. Although we believe that our assumptions are reasonable, they are not guarantees of future performance. Therefore, our actual future results could materially differ from our current expectations. For a detailed description on some potential risks, please refer to our SEC filings which can be found in the Investor Relations section of our website. I will now turn the call over to Scott Peters, Chairman and CEO of Healthcare Trust of America. Scott?
Scott Peters: Thank you, Mary. Good morning and thank you for joining us today for our second quarter 2016 earnings conference call. Joining me on the call today are Robert Milligan, our Chief Financial Officer; Amanda Houghton, our Executive Vice President of Asset Management; and Mark Engstrom, our Executive Vice President of Acquisitions. We are extremely pleased with our second quarter results, our year-to-date operating performance and the continued execution of our business plan. Over the last 10 years, we have grown into largest dedicated owner of medical office buildings in the U.S. We have invested $4 billion in over 343 medical office and other healthcare real estate assets, aggregating over 17 million square feet across 31 states. We believe this focused growth has been and continues to be the direct result of our disciplined rifle shot acquisition philosophy, which is centered around key markets, key cities and clustered asset management synergies that we believe result in superior returns for asset performance, same-store NOI growth and total investor returns. We have purposely and strategically invested in top markets across the country, resulting in 91% of our GLA being located within the top 75 MSAs across the United States. These markets post above average medium household income, stronger, higher educational systems that foster a strong workforce and other unique economic drivers pushing the local economies forward. 67% of our MOBs are located on or adjacent to prominent hospital campuses and academic medical centers, while 33% of our portfolio represents core community, outpatient facilities that are strategically located within the community and around other key healthcare assets. Further, according to recent Revista data, more than two-thirds of all physicians practice off-campus, a trend that we see evolving within the healthcare sector, as cost pressures continue. As a result of this execution and business philosophy, we have generated total returns of 195% since our founding 10 years ago, which outperforms our direct MOB peer, the diversified healthcare REITs, the Standard & Poor’s 500 and the U.S. REIT indices. In fact, an investor who invested $10 in HTA 10 years ago has almost tripled their investment today. As we look to the next several years, HTA’s medical office space is uniquely positioned for continued growth and performance. The MOB sector is benefitting from fundamental tailwinds that include an aging population with 10,000 individuals turning 65 years old per day over the next 20 years, the Affordable Care Act and the continued growth in healthcare spending, overall employment growth, and a continued pressure on healthcare to shift to low cost healthcare delivery in outpatient locations. With current valuation gap to other sectors, such as traditional office and the depth of HTA’s MOB platform, I cannot think of a better real estate asset class to invest. Now, let me turn to the second quarter performance. During the quarter, we generated 5.3% increase in normalized FFO per share to $0.40. We generated 3.1% same-store NOI growth, which we have consistently generated over the last 15 quarters, since the fourth quarter of 2012. This is also above the mid-point range of 2.5% to 3.5% growth, which we anticipate to deliver in the future. Year-to-date, we have issued $365 million of equity, including $272 million in second quarter, consisting of $172 million in an overnight offer and $73 million of OP units issued at an average price of $28 and at applied cap rate that was accretive to our acquisitions during the year. In addition, in July, we closed on our third unsecured public bond offering issuing $350 million of 10-year unsecured notes, at attractive pricing of 3.5%. We used proceeds from the bond offering to extinguish outstanding debt on our unsecured revolver, extinguished other short-term debt and further laddered out our maturities. During the quarter, we expanded our portfolio with high performing assets within our key markets, acquiring almost 1 million square feet of MOBs for $237 million. To-date, we have acquired 1.7 million square feet for $435 million with the expectation of cap rates that were achieved were between 5.5% and 6.5%. In addition to our acquisition activity, we recycled $26.5 million of our non-core assets, selling four senior care facilities. We acquired these assets back in 2008 and achieved a yield of 9.5%. The proceeds from this sale were recycled into more strategic medical office buildings that better fit and better meet our investment criteria. On the operations front, we continue to benefit from a flexible, scalable business. Over the last few years, we have successfully reduced expenses by bringing our property management and leasing activities in-house and driving expense efficiencies as we consolidate operations, bundle contracts and use internal staff members to be more effectively performing building services. We are able to achieve these efficiencies with the critical mass we have achieved in our targeted markets, a key component of our investment strategy. As of the end of this quarter, approximately 92% of our properties are being internally managed through our in-house full service operations platform. A good example of the benefits derived from our market clustering lie in our Boston, Albany and Connecticut markets, $1 billion invested in 3 million square feet within a 125 mile radius. We have a solid MOB portfolio with assets that are on or adjacent to high energy hospital campuses, and in core community outpatient locations that give healthcare providers the best access to patients and academic university medical campuses that are driving patient care, research, education and employment growth. We believe our dedicated MOB focus is the best, disciplined path to sustained growth that will continue to benefit our shareholders now and in the future. With that, I’ll turn over to Robert.
Robert Milligan: Thanks Scott. For the first part of 2016, we have combined steady financial performance with significant amounts of capital markets activity that put our balance sheet in great shape to execute going forward. From an earnings perspective, our second quarter normalized FFO per diluted share was $0.40, an increase of $0.02 per diluted share or 5.3% compared to the second quarter of 2015. Overall, normalized FFO increased over 16% to $56.5 million as compared to the prior year. The increase in year-over-year normalized FFO is primarily due to our same property cash NOI growth of 3.1%, and the accretive NOI generated from more than $480 million in acquisitions completed over the last four quarters. Additionally, we continue to ensure capital expenditures remain efficient but all cash outflows produce acceptable returns. As a result, our normalized funds available for distribution, which include recurring capital expenditures, increased almost 13% year-over-year. Business operations remain steady, partly the result of very limited lease rollover with less than 8% rolling over the last 12 months, consistent leasing with high tenant retention, 87% in the quarter and releasing spread that remain in the flat to plus one range on average. Our same-store growth was 3.1% and quarter ending same-store lease rate increased 40 basis points with the majority of the new leasing being signed towards the end of the quarter. Annual escalators on the over 528,000 square feet of leasing in the quarter was 2.5% on average with leasing concessions remaining low. Our margins expanded slightly as our property expenses were down across the board, excluding property taxes. G&A was $6.8 million for the quarter and $13.6 million for the first half of 2016. We continue to expect G&A to trend around $27 million for the year. G&A was 6% of revenue in Q2 compared to 6.5% in the first half of 2015. These improvements support the scalability of the HTA platform, the synergies within our core markets and our ability to effectively manage our property and corporate expenses and it has trended down since we went public in 2012. As Scott mentioned for the year, we have invested approximately $435 million in medical office buildings, primarily in key markets that allow us to drive operating synergies and generate yields which we can grow faster on our platform than on a standalone basis, generating additional 50 basis points within the first 18 months. Consistent with our financing philosophy, we have largely financed these investments with long-term capital raising just over $365 million of equity of attractive prices related to our investments. This includes over $292 million of equity raised through the public markets and $73 million of OP units. This balanced equity raising allowed us to effectively lower our leverage while still growing earnings. Following the quarter-end, we completed our third public debt offering, issuing $350 million in 10-year senior unsecured notes with a 3.5% coupon. As a result, we have very limited near-term debt maturities and continue to ladder our maturities into the future. As I stated, our balance sheet is in good shape with leverage at quarter end of 26.2% debt to total capitalization and 5.5 times debt to EBITDA. We continue to target leverage at 30% to 35% and below 6 times, but we may run lower than that and continue to extend debt maturities as the real estate cycle continues and the capital markets remain open. I’ll now turn it back to Scott for final remarks.
Scott Peters: Thanks Robert. And we will turn it over the operator to open up for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instruction] And today’s first question, ladies and gentlemen, comes from Vikram Malhotra of Morgan Stanley. Please go ahead.
Vikram Malhotra: I just wanted some more color on the new markets you guys have entered. How did you view these versus maybe other alternatives you were considering and are there other markets that might fall into this strategic category?
Scott Peters: Well, we’ve always wanted to be in 20 to 25 core markets. And, I think our view right now is that we’re in a good 15 markets, in 15 markets where we have that -- our asset management, our leasing, we’ve got relationships, we’re seeing off-market transactions, I’m sure we’ll talk a little more about that in a minute. But we’d like to be in another three, four, five, six markets. We’ve identified them. We’re starting to see opportunities there. And the biggest thing for us is of course is our view that we want depth and we want critical mass in a market. We don’t want to be in 50 markets with one asset each. We want to be in 20 to 25 markets where the concentration that allows us to really bring an accretive value to the acquisition. And being a targeted buyer like we are, I think that’s our best ability to execute for the long term.
Vikram Malhotra: Okay. And then, just on the expense side, can you maybe just walk us through or give us some more details on how much of the decline in same-store expenses was just from additional savings you’ve got from the in-house management, and if you can give us some more color on things like property taxes?
Robert Milligan: Yes, sure. Really what we saw throughout the quarter was pretty broad-based kind of expense reductions, kind of go through all the different lines from ground maintenance, building maintenance down to utilities, even just our internal costs are kind of down across the board, certainly on a per square foot basis. From a property tax perspective, we did see some slight increases this year kind of going along with general inflationary pressures, so a couple of percentage points, nothing really too alarming on the property tax front, but that was really more offset by the efficiencies that we’ve been able to generate out of our in-house platform.
Scott Peters: One of the things that I’d just like to close up with that comment is that we’re excited about the fact that over the next 12 to 18 months if we continue to be target buyers in selected markets with some clustering ability, we can bring down our G&A. And you’ve seen it from last year, as Robert pointed out. We’re continuing to see it as we put together our budgets for 2017. So, I think it’s just a very, very strong efficiency aspect of HTA that perhaps some other folks don’t have in the sector.
Vikram Malhotra: Okay, thank you. And then, just last one on sort of the acquisition -- or opportunity set on acquisitions, lot of products out there; you alluded to that at NAREIT. Can you maybe just give us an update, sort of portfolios you’re tracking and what you may be interested in?
Scott Peters: There is a lot of product out there. I think that there is more product that has either transacted through this year or is going to transact theoretically this year. I think the lot of product -- the majority of the product frankly is not our type of product, in fact if you look at three of the opportunities out there, they are really portfolios or assets that we’re accumulated in, really this is the third trade in three or four years. And I think you have to be careful about -- certainly one has to wonder about the value that is left in those portfolios. They are also in secondary markets, secondary campuses, they really were not put together as a long-term hold or they came in larger portfolio. So, we are looking at very targeted, disciplined acquisitions in the markets we are in, typically with the relationships that we have. And so, you’re not going to see us be one of these buyers that come in and want to just add size to the equation and think that by size you’re going to get performance, because I don’t think that that happens.
Operator: And our next question today comes from Todd Stender of Wells Fargo. Please go ahead.
Todd Stender: Thanks guys. I hopped on late. So, sorry, if I missed this. Your in-house property management dipped a little bit low in the 90% range. Is that just a reflection of new acquisitions hitting or have you guys transitioned to any properties off of HTA’s management?
Scott Peters: No, it is direct result of the recent acquisitions, especially the one up in Connecticut. We are in a transition period with them, which is very important to us because it helps us get to know the market, helps us to get to know the tenants. And they have got great synergies up there. And we are actually working together on some their developers, as you know. So, we are working in coordination with them on some projects. So, it’s important to keep that relationship open. We still want to manage, I would say on average 95%, Todd. And it will ebb and flow during the period of time. But typically that’s where we will end up.
Todd Stender: Is there a -- how long is the transition period would you say; is it typically 12 months? And in this case, is there any difference between that, what’s traditional and what’s going to happen in Connecticut?
Scott Peters: Traditionally it’s 12 to 24 months. I mean that’s really what it allows for a number of transitions, it allows us to get very familiar, especially if it’s a larger portfolio. In this particular case for example in the Connecticut market, it was a new market for us along with our acquisition in New Haven and great relationships, we take advantage of those relationships. So, it’s a good partnering aspect of what we want to try to do in markets where we want to have that strong presence.
Todd Stender: Thanks Scott. And then, Robert, just looking at your stock price, obviously your valuation has benefited from not having skilled nursing or assisted living exposure, compared to your more diversified peers. Is there a way to quantify how much your cost of equity has benefited this year? I guess maybe how it compares now to maybe where you drew up your budget back in December or so?
Robert Milligan: Well, I think we’ve certainly seen stock prices increase kind of across the board, especially as investors start to recognize some of the values that medical office truly has behind it. And I think as we’ve seen our cost of capital continue decline, it has allowed us to look at more opportunities than maybe we had originally budgeted. Because I think as we’ve talked about for a long time, we do see -- we are committed to being very conservative from a balance sheet perspective. In fact, we’ve been able, because of some of the cost to capital going down, we’ve actually raised more equity that allowed us to effectively delever throughout the year at this point in time, even while being pretty acquisitive, as we found good assets. So, that’s what we would like to continue to do is keep the balance sheet exactly where it is, make sure it’s fairly [lowly] [ph] levered to allow us to take advantage of opportunities when we see them.
Operator: And Our next question comes from Jonathan Hughes of Raymond James. Please go ahead.
Jonathan Hughes: Looking at portfolio deals, and I guess not including the ones being marketed by some of your competitors you mentioned earlier, but have you changed your outlook towards portfolio deals in the $100 million to $200 million range?
Scott Peters: Well, if you look at our history, we’ve had three or four or five of those. We were really the first buyer, if you remember back in 2010 to buy the portfolio in Greendale which was at the time of $160 million I believe; and then, we followed it up with a concentration of assets in New York for about a $192 million; and then, we had what I would call a portfolio another $100 million or so in Florida. So, we are not at all averse to taking large gulps. We just took a gulp here recently $172 million in Connecticut. So, it’s really the concentration. If we find the portfolio or a group of assets that has concentration, it has the criteria that says that for the next 10 years it’s going to deliver great returns, we are very competitive. And I think that as we just talked about, we are in a very competitive position. So, it’s more about the assets; it’s about the assets; it’s about the location; and it’s about the long-term viability of those assets to produce 2.5% to 3.5% same-store growth. A lot of the assets I see out in the market right now, frankly, I think that they are over market. I think rents have a propensity over the next three or four or five years if they roll. They may roll down, and that’s not really what we’re looking for. We’re looking for assets that bring synergy, that have core market value rents and those rents can move at that 2.5% to 3% on an escalated basis for the next 10 years.
Jonathan Hughes: Okay. And then that segue to my next question. Have you seen more international investors or sovereign wealth funds for high quality MOBs in core markets following the Brexit vote?
Scott Peters: We have seen -- I think the good news is -- it’s a good news and bad news. Good news is that medical office building market in great markets is very, very attractive. Bad news is that folks realize that it’s very, very attractive and they have an appetite to get invested in it. Our advantage is that we are in markets and we have these relationships. And not every asset is sold simply for the last price; in addition, not every asset is sold with the same sort of criteria that a buyer looks at. A lot of the foreign capital does not have a management arm, does not have an asset management or leasing platform. We’ve gotten quite a few calls coming in that says we’d like to take advantage of your asset management and leasing program, and would like you to manage our assets? Well, we manage our assets for our investors. That’s the primary goal for us. And so, we have an advantage, and we don’t want to give that advantage away. And I think it is something that you will see over the next -- rest of this year that we continue to execute on.
Jonathan Hughes: Okay, thanks. And then, just one more gravity test really on cost controls and the benefits from rolling assets on your platform. And I think you’ve quantified this at about 50 basis points. Has it increased recently from a few years ago? And if so, what’s the main reason for the expansion?
Robert Milligan: I think it’s certainly as -- and really what we we’re talking about is when we buy assets, let’s say we are buying amount [ph] of six cap within 18 months, we think we can generate that incremental 50 basis points of yield. It probably has increased somewhat over the last couple of years. Certainly as we roll out of our platform, there is a level of sophistication that has certainly been added the platform that’s allowed us to generate some incremental yield there. I mean it really comes across the board certainly by eliminating some management fees but then also from bundling contracts. And just a simple fact that when you add on asset to a platform, the staff that you need to operate that doesn’t increase on a proportional basis there. So it certainly has -- we think it’s increased especially as we’ve built out the platform last couple of years.
Scott Peters: One thing we are seeing is that the MOB -- the way that we buy assets which is on a targeted basis, it’s very fragmented in industry, and it has been fragmented and it’s going to continue to consolidate. And through that fragmentation is when you buy from a developer or you buy from a one-off owner or you buy two or three assets that are being operated in that small pool, there is such a significant amount of synergies and efficiencies you can bring to that operation. And then, when you add that to a regional focus on our part -- two thirds of our portfolio is on the East Coast, almost 25% is within a 125 miles of each other. We’ve got a large presence in Florida. So, we can start bringing some of these synergies that continue over, not just a quarter or year, but as we go to 2017 and 2018, our budgets are being focused on how do we bring these, for lack of better word, institutionalization to the asset management platform. It’s very hard to so that if you are buying billion dollar portfolios. I think some of our peers to sound that out because it’s a asset by asset, market by market process. And so, I think we bring that synergy and that efficiency quicker to our bottom line. And that’s what the purpose of the whole process is by accretively, drive earnings to the bottom line, generate returns for shareholders.
Operator: [Operator Instruction] Our next question comes from Kevin Tyler of Green Street Advisors. Please go ahead.
Kevin Tyler: The bigger health systems, we continue to see them move their brand out into the more suburbia type locations and away from their core main and main location. And I am just curious as we see that happen more and more, how do you think that impacts the second or third tier hospitals that might be more in that suburban area? And if those hospitals are impacted and we start to see them either shrink or shutter eventually, how does that play out and impact your portfolio?
Scott Peters: I think the secondary markets and as you said, as healthcare systems move out to what I call distant or one-off MOB markets with the hospital, I think you will see some consolidation. I think if you are an owner of that MOB, you have very little pricing power. I think in track the pricing power becomes less as further you move away from the campus. And then, if you are right on campus, the healthcare system has pricing power with you also. So, that is also a consideration. And then, if you are constrained with a ground lease and if that ground lease is restrictive, that even comes into play more with that negotiation of rent. Only 30% of our on-campus properties have ground leases. We pay attention to that. We think that without a ground lease with fee simple interest ownership, you have a little more leverage in the negotiation process. So, we don’t like the off-campus secondary markets, even if it’s on-campus. We are very cognizant of what we buy on-campus, so that we’re not constrained by ground leases. And what are really -- what I think moves forward is that going to be continued cost pressure on our healthcare system. And physician groups and healthcare systems are going to look at the most efficient place to play -- to put the most revenue generating parts of healthcare. And if you look at some of the East Coast and I go back to Boston, I go back to Albany, I go back to Florida and Tampa, you see that some of these what we call community core campus locations, they are populated by one or two or three healthcare systems, they are populated by the physician groups that haven’t gone away. And their focus is on access, their focus is on synergies from referrals and they are also very conscious about the $6 or $7or $8 that differentiates itself from itself from on-campus to this core location. Now, that helps us because we get typically 3% escalators. We’ve seen growth in our portfolio over the last two quarters in spreads better than on-campus in some locations. And so, I think that’s where healthcare is going. I think it’s a very selective -- still a very selective business. And the one thing about real estate is that it is location, location, location, and I think that in some cases in a very, very hot market. And certainly this is a very hot market from medical office, people forget that. And so, I like our targeted acquisition approach. And I like the fact that we can get concentration and operating efficiencies when we acquire something.
Kevin Tyler: Okay, thanks. And then, to that point, you mentioned it earlier as well; you said that folks continue to look to get invested and it’s getting more competitive; naturally, there is more supply probably than we’ve seen in the past. But I’m wondering if there is any markets in particular that maybe concerning or on the radar screen for development?
Scott Peters: Well, we are seeing -- the interesting thing is we don’t do development, and we haven’t done that. But what we are finding and frankly exciting for us -- and I know that there is several folks on our management team, Mark Engstrom and Amanda Houghton who are very active in this particular issue, is that we’ve been approached by a couple of healthcare systems that we have relationships with who are looking to build something, want to build something, have a developer in the local market that they are familiar with and are looking for the long-term equity hold. So, we have opportunities. And I think you are going to start seeing those and they’ll be all leased, which is a good part of it. And so, we’ll get that; opportunities continue to expand by a second areal [ph] in our bucket, which is where the healthcare systems want us as the owner familiarity with us from having done business with us and are looking to use that local developer or that opportunity that they’ve already done in that local market.
Kevin Tyler: Okay. And the flip side, you are not seeing anybody pop up in size on the development side where you’re concerned or seeing a direct impact on the portfolio to any degree at this point?
Scott Peters: In fact, I think it’s the opposite. I think the developers are -- there is fewer developers out there today than they were three years ago. We have got a couple national developers with the large RIETs. And I think that that’s -- it’s interesting how that’s playing out. But, it still is a regional and local developer market from what I can tell. When folks go in, most of the time, I think the healthcare system has a desired partner or they want a desired developer, and ten they have some idea about who they want to have long term equity ownership with.
Operator: And our next question comes from Chad Vanacore of Stifel. Please go ahead.
Unidentified Analyst: Hi, good morning. This is Aaron Wolf [ph] calling on behalf of Chad Vanacore. Question regarding CapEx, it came in a little -- the current CapEx, it came in a little higher than normal at about $7.7 million this quarter. I am just wondering what we can expect to see in the back half of the year.
Robert Milligan: Well, I think as you look at our capital, there is certainly a component of it just direct to maintenance CapEx, which continues to be pretty steady and humming along. I think the biggest driver of the incremental CapEx is related to tenant improvements. If you look at the leasing activity that we had, certainly we increased our year-over-year same-store lease rate by about 40 basis points. And so, there is tenant improvements that come along with it. When just look at the pure kind of lease square footage and activity we have had, we have actually had about 50% more square footage leased in the first half of this year compared to last year. So that really makes up the bulk of the different. And that’s all good capital going in to put tenants into place.
Unidentified Analyst: Where is it going to? [Multiple Speaker]
Robert Milligan: I think it’s all driven by the leasing activity that we have. We continue to see good activity. And so, as leases continue to get signed, we would expect it to be pretty consistent, depending on the timing of when and what and where it’s signed. But we really remain focused on making sure that we are getting pretty efficient on the tenant concessions that we are offering, TIs on a dollar per square foot per year term continues to remain very low on both new and renewal basis.
Operator: And our next question today comes from Michael Mueller of J.P. Morgan. Please go ahead.
Michael Mueller: I got on the call later, so I apologize if you touched on this. But, year-to-date acquisitions already running pretty much where the target has been. What are you expecting for the back half of the year, out of curiosity?
Scott Peters: Well, you got on late but no one asked that. So, very good question. We’ve been fortunate -- I look at it as not a -- we don’t give guidance. And what we have said is that we have been very consistent from an acquisition perspective. I think in this particular marketplace there would be some focus perhaps put growth over everything else, even at the expense of performance. I think we don’t want to do that. We want to be targeted buyers in our markets. We had some opportunities in the first half of the year to do that; we’ve had opportunities where it’s been very accretive to us and help to build our footprint. I think we will see some more of those opportunities. I don’t want to put a number on it because I can’t tell you necessarily where that opportunity may jump up, but we are actively looking at some things now that if it comes to a fruition, I think adds to our markets, adds to our portfolio. And as Robert talked about earlier, we’ve lowered our leverage year-to-date. So, we’ve been very-disciplined from a balance sheet perspective. And the MOB marketplace is -- people are looking to get invested in it, and we’re the beneficiary of that. So, we’ll take advantage of it where it’s prudent.
Operator: And our next question comes from John Kim with BMO Capital Markets. Please go ahead.
John Kim: I think, Scott, you mentioned in an answer to prior question about potential rent roll down, and I’m not sure if that was in relation to acquisitions you are looking. But, can you provide some color on that and if it’s in relation to any particular market?
Scott Peters: Sure. I think that again some of the triple-net leases that if you look at some of the portfolios that are out to be marketed right now, they have very little CapEx originally attached to them, they have longer term leases in place and they were pretty fixed. And when we underwrote and the first time we didn’t necessarily think that something in Henderson, Nevada it’s going to be a rent-driven market of 3% escalators after six years. And I just think that Henderson up six years 3% in a row is going to roll down. And so, there is markets where you see the assets and you are thinking that those potentially could roll down. We don’t want to be buyers of those assets. We really want to take our portfolio, fine tune the targeted markets, fine tune the clusters series, we continue to grow in size and three years from now, two years from now people will say, well, gee, save God, $1 billion in this market cluster, they’ve got $1 billion here; they are getting the synergies off of that. That’s really our criteria. It’s been like that from day one, just like we haven’t bought rental rates or occupancy. I think in some cases, people have given a lot of concessions. Those concessions now were given five to six years ago and you are seeing large roll ups on rent. But that’s been a -- that’s the performance of the asset over the last six years it’s suffered. We try to keep rents at market, we try to keep concessions at market, and we’ve been very consistent with that through our leasing teams.
John Kim: And then, looking at your top markets, I think you mentioned in the past that you want to get critical mass in some of these markets as you enter an build scale. Are there any markets that you are in currently that you are finding it more challenging to build that critical mass, and you may end up selling out of?
Scott Peters: Well, I’ve been very forthright with folks in Phoenix market. Phoenix is dominated by one healthcare system. The healthcare system isn’t been very active in acquiring physicians. And you’ve got a really a dichotomy here which you have a healthcare system that has 60% of the market share but isn’t growing much from a physician perspective. And so, Phoenix has been a tough market. We’ve sold a couple assets here in Phoenix; we did well with those assets but our timing of buying them was back in 2009, when the market was really at the bottom. Phoenix would not be a market that you would see us continue to grow in, in its current situation from a rent perspective. So that would be a market. And I think that Vegas, we own an asset in Vegas. And I don’t think we would be a buyer of more assets in Vegas because that’s been a very difficult market from what we can tell. So, I think we look at each of the markets and decide how we see that market over the next 10 or 15 years. Our three components to a market -- and I think that the long-term value of real estate is driven by the economics within the market. It’s great to be on campus, it’s great to have a great healthcare system. But if the market itself isn’t growing, then you have troubles with rents, you have troubles attracting folks. So, we are looking for cities with economic uniqueness, you’ve see in Boston, Charleston and Austin, Raleigh, Greenville, Tamp. I mean, you go through our portfolio, and I can point to economic uniqueness in those markets. We like high academic university locations because that’s where folks are moving. Millennials now go to college to get invested in the community and they stay. And I think that gives you a higher wage. The wages are higher based around those type of university academic locations. And then, you want the healthcare systems that are stronger, you want the locations that attract a lot of patient visits because that’s the future of healthcare is as many healthcare visits as you can possibly get for the healthcare systems as the physician groups. So that’s how we target our markets.
John Kim: Okay. And a final question for Robert, the acquisition related expenses; is this completely tied to acquisitions that have closed or part of that in relation to work you’ve done on your acquisition pipeline?
Robert Milligan: The acquisition costs, expenses that we have in there, largely ties to acquisitions that are actually closed. There certainly are external legal costs where -- that we incur related to acquisitions that either haven’t closed or go away, but that’s a pretty small component on them. We don’t really spend a lot of dollars until we are highly confident that we are going to end up closing the deals. So these are really acquisition expenses that I’d say by and large are related to acquisitions that close.
Scott Peters: We have gone after two or three assets, we have been in a process. And it’s turned out that those assets had reached a plight that we felt -- was not frankly not something we wanted to buy, and it’s has been in couple of our core markets. Again, we are looking for that 7 to 10-year performance as owner and hopefully as an investor. And when you get yields that go into the fours and you get fixed rents that are under twos and you get CapEx that’s been deferred, you have to look at that and say well, maybe there is a better place to put my invested dollar in perhaps that particular asset. So, we have chased three or four things and we have backed off. And I get the term is, either we backed off because we didn’t want to go as low as other people went, or we backed off because we didn’t think the underwriting from a 5, 7, 10-year perspective was something we wanted to invest in.
John Kim: I may have missed this earlier but can you discuss the competitive landscape from other RIETs; is it mostly coming from the MOB focused REITs or also the big three healthcare REITs as well?
Scott Peters: Well, I think there is more activity in the MOB sector. I don’t think that there’s been a distinctive change from the public RIETs. I think five of us or four of us or six of us are or however many they are now, we’ve pretty much been in this and doing this for certainly three, five, seven, ten years. And we have different focus to a large extent. And I think that’s been consistent. I think each [Technical Difficulty] and sometimes we’re taking the easiest answer. So that’s probably the thing has that generated the most differences. There is certainly foreign capital, there is certain new folks that want to get invested in MOBs and those are the ones I think have made it a little more difficult.
Operator: And ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Scott Peters, the Chairman and CEO, for any closing remarks.
Scott Peters: I want to thank everybody for joining us on the call again today. And as I’ve mentioned, I think our quarter -- we are very happy with our quarter. 2016 continues to look, for us, to be very successful. Leasing is continuing to go forward for us which is a great indicator of what our assets are doing and how our markets are performing. So, thank you very much and we’ll talk to you soon.
Operator: And thank your time, sir. Today’s conference has now concluded. And we thank you all for attending today’s presentation. You may now disconnect your lines. And have a wonderful day.